Operator: Greetings and welcome to the Shake Shack First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Annalee Leggett, Director of Investor relations and FP&A. Thank you. You may begin.
Annalee Leggett: Thank you, and good morning, everyone. Joining me for Shake Shack's conference call is our CEO, Randy Garutti; and CFO, Katie Fogertey. During today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available on our earnings release and financial details section of our shareholder letter. Some of today's statements may be forward looking, and actual results may differ materially to a number of risks and uncertainties, including those discussed in our annual report on Form 10-K filed on February 23, 2023. Any forward-looking statements represent our views only as of today and we assume no obligation to update any forward-looking statements if our views change. By now, you should have access to our first quarter 2023 Shareholder Letter, which can be found at invest.shakeShack.com in the Quarterly Results section or as an exhibit to our 8-K for the quarter. I will now turn the call over to Randy.
Randy Garutti: Thanks, Annalee. Good morning, everyone. Thanks Anna, and good morning everyone. 2023 is off to a strong start with first quarter results ahead of our expectations as we grew sales, expanded margins and remain disciplined on expenses across the company, including G&A and CapEx investments. As we execute against our strategic priorities, we generated total revenue of $253 million up 25% average weekly sales of 73,000 up by more than 7% year-over-year. System-wide sales grew 28% year-over-year to nearly $395 million as our licensed business globally posted our strongest quarter ever. Same-Shack sales were up 10.3% with positive traffic of 4.8%. And as we've shared, the team has maintained an intense focus on growing profitability and we executed on that goal to bring restaurant margins up to 18.3%, a 310 basis point improvement over last year. We opened six company operated and seven licensed Shacks in the quarter, and we have 25 Shacks currently under construction on our way to opening about 40 new company operated Shacks this year. Based on our increased pipeline and strong execution in our domestic and international license business already this year, we're raising guidance today to 30 to 35 Shacks expected to open throughout 2023. Quarter-to-date solid momentum has continued with AWS and fiscal April rising to 77,000. Same-Shack sales, about 4% and tracking well towards increasing our Shack-level margins back above 20%, which Katie will talk more about in a bit. Now I want to provide an update on how we're executing our strategic plan. We're really proud of the team's progress in each of our priority areas. First, we're focused on recruiting, rewarding and retaining a winning team. It's been a challenging few years for staffing in our industry and this quarter our team showed solid progress. We believe the macro hiring environment while still demanding, has begun to improve. And with that backdrop and the new tactics of our people team, we've improved application flow, turnover and retention since last year. Our increased pay benefits and opportunities for leadership development at all levels are resonating with our teams. There's no question this will translate to better performance overall. Each of these metrics contributes to better throughput, optimizing sales, and increasing our operating profit while building a bench of talented leaders to achieve our growth goals and provide real advancement for the lives of our team members. Our work here is never done and we plan to double down on these efforts to expand on this improvement. Our second priority is our relentless focus on the guest experience, with the people's improvements I just mentioned. As a strong foundation, we can better execute our core operations focus menu strategy, and digital tools. This quarter we captured strong performance and guest satisfaction with our premium white truffle menu at our innovation kitchen and throughout our supply chain, we are constantly testing new and exciting menu items for our guests that highlight our commitment to premium ingredients and the kind of menu items that only happen at Shake Shacks. Leave have a strong lineup. Through the remainder of the year, we're continuing on a path of leading with innovative culinary offerings that use premium ingredients to drive frequency and new guests. This week we launched our new Veggie Shack nationwide. It's a delicious only at Shake Shack Burger Patty, packed with real food, full of mushrooms, sweet potatoes, carrots, farro, quinoa topped with American cheese, crispy onions, pickles, and shack sauce. We also launched our non-dairy frozen custard shake nationally. In addition to our longtime guest favorite Truffle Burger, we believe these options can target current guest frequency and capture new guests over the long-term. This summer, on top of the success of our premium lemonade category, we'll be launching Caffeinated Shack Lemonades for those guests looking for our classic lemonades with an extra zip. Stay tuned for more to come this year. And just one more fun brand note, our team continues to execute dynamic chef collaborations, regional marketing programs in our local communities and attract valuable national media attention. Last month we teamed up with Universal Studios as they took over our Brooklyn Shack for the launch of the Super Mario Brothers movie, movie Premier. The event was [indiscernible] by Chance The Rapper and helped kick-off the extraordinary success of the movie. The team continues to target national media partnerships as we look to grow our brand and footprint. Third, we're executing on a targeted development strategy for growth. As we've discussed and you're seeing around the industry, persistent inflation and construction costs, permit delays and equipment availability continue to impact our openings and our near term returns. But the team is making significant progress on accelerating pipeline prototype design and new Shack openings. Year-to-date, we've opened nine Shacks with strong sites in Walnut Creek, Portland, Oregon, Jersey City, and more. I want to take some time today to share some of the work the team is doing to improve our returns on Shack builds over the long-term. This year we expect to open up 15 drive-throughs, and now with this higher mix of drive-throughs and ongoing inflation pressures, we do expect our build costs for the class of '23 to be somewhat above last year's average. While our core Shacks are impacted by inflation, most of that system average cost increase is due to our commitment to drive-throughs that cost more to build than our traditional core Shacks. So what are we doing about it? Well, since the drive-through project has begun, we've learned a lot and we are honing-in on cost reduction elements of the design. We're refining templates for efficient and more standardized operations. This year we expect to reduce drive-through costs by about 10% versus 2022. And in future years, we'll be rolling out new and tighter prototypes for drive-through and core Shacks focused on combining the Great Shack experience we're known for at a reduced cost and ability to scale. Long-Term costs will vary depending on sites and geographies that we target as an example; next year we may spend more on certain drive-throughs in the New York Metro and California markets, but we correspondingly expect a strong return on higher sales there as well. We're working on our next generation of designs with an aim to execute on additional cost saving measures. We're going to optimize the size of the Shack-box, how many seats we need, standardized kitchen designs and building materials that can reduce total cost of future Shack-classes. But this work takes time to roll through the system and while you won't see an immediate impact this year, this intense focus balanced portfolio, Shack-types and new next generation prototypical designs will add up to more savings over time on our cost to build and overall returns. We're committed to further improve this part of our economic model and we're really excited about what's ahead. But regarding the license business, we saw extraordinary growth and execution in the first quarter and we expect that trend to continue. Our team has performed exceptionally well in China, and our domestic business continues to grow. We continue to expand our global footprint as only the Shack brand can do. We're unlocking new regions and formats with the introduction of development agreements in Israel and Canada, as well as new Shack's opening in roadside travel plazas throughout the U.S. I was fortunate to join our teams on a multi-country Asia trip this spring, and I had the privilege of welcoming our first in Bangkok to an incredible crowd with strong sales. Since opening, I had the chance to connect with our teams in mature markets such as Singapore and Japan where our growth continues and to plan ahead for our upcoming opening in Malaysia and potential other markets in Southeast Asia. There's a lot that's probably underappreciated and undervalued about this part of the Shack's story and our strategy. My hope is that our shareholders take the opportunity to visit some of our international sites. We take great pride in the amazing brand we share globally, and I'm really thankful for our team members around the world continuing to execute and standing for something good. Wherever Shack Burgers are found, our fourth priority is being even more profitable in our Shacks ahead of our own expectations. We delivered 18.3% Shack-level off profit this quarter. We showed strong progress on our key initiatives including driving sales, especially in our own channels, labor efficiencies, off-premise profitability and managing controllable supply chain and other operating expenses. There's still much work to do and there is risk around the macro environment and continued cost inflation this year, but with a plan the team has put in place, we're guiding Shack-level off profit of 19% to 20% for the full year and we see the opportunity to return over 20%. Katie will share more details on the work here in a bit. Finally, the fifth pillar of our plan is we build an enduring business. We are committed to investing with discipline. We're deploying capital towards strong return -- returns in four main areas. We're going to build Shacks, update our current Shacks, invest in our digital infrastructure and structure our home office capabilities to further support our restaurants. We remain confident that we can meet or exceed our long-term unit, cash on cash return targets over time by growing sales and profitability and lowering development costs, all of which we emphasize in our strategic plan. We've got the right plan in place. We're pleased to see progress taking route. I'm now handed off to Katie to share more about the details of the quarter and expectations for the rest of the year.
Katie Fogertey: Great. Good morning everyone. We are proud of our strong results this quarter that are a direct outcome of our team's solid progress on our 2023 strategic plan. We grew revenue by 25% year-over-year as our teams executed well on recent openings and drove higher sales in our existing company operated and licensed Shacks. We also showed strong improvement in our restaurant margin this quarter, expanding it by 310 basis points year-over-year to 18.3%. This is the highest first quarter restaurant profitability margin we have posted since Covid and we generated record high quarterly restaurant profit dollars and adjusted EBITDA in what is typically the softest sales quarter of the year. We accomplished this despite the many profitability headwinds we face, including the large number of Q4 and q1, new Shack openings, ongoing inflationary pressures and mobility measures and key markets like New York City still deeply impacted from Covid. And we did this by executing on our plan with some important highlights and actions, including tactically increasing menu prices to protect margins against broad-based and persistent inflationary pressures, by driving sales into our own more profitable channels by showing better cost controls over our other operating expenses and by bringing more Kiosks into our Shacks, driving efficiencies and other benefits. We are reassured by these results and we look forward to showing continued progress through the rest of the year. We understand the many macroeconomic risks that may further impact the restaurant sector and our results. However, our business has demonstrated a level of stability that now allows us to go back to our pre-Covid guidance practices and reintroduce full year guidance for total revenue, same-Shack sales, our licensed business and Shack-level operating profit. We are also providing a new guidance metric with full year adjusted EBITDA. And as we continue to observe a normalization of our trends, we are reducing our urban suburban disclosures as regions are now a stronger driver of our performance compared to just the level of urbanity. So now on to first quarter results. Total revenue was $253.3 million up to 24.5% year-over-year. Shack sales grew 24.1% to $244.3 million. Licensing revenue grew 36.7% to $9 million. System-Wide sales reached a record high at $394.7 million, up 27.5% year-over-year with stronger sales and flow through as well as expense discipline. All points of our 2023 strategic plan. We grew adjusted EBITDA by 163.9% to $27.6 million. This quarter we generated 73,000 in average weekly sales and grew same-Shack-sales by 10.3% versus 2022 with 4.8% higher traffic. Year-over-year price was up high single digit and our mix was driven by more guests returning to pre-Covid behaviors, including channel shipped into in-Shack and smaller group sizes. We have discussed that a key strategy for us to improve our restaurant profitability is to drive sales into our own channels where we are most profitable. We showed strong progress against that goal in the first quarter as we grew in-Shack, same store sales by more than 20% year-over-year and more than doubled our total Kiosk sales versus last year. Putting Kiosk into our Shack is another key way we have identified to improve our sales and profitability and we shared a goal last year to roll out Kiosk nearly all Shacks by the end of 2023. We are proud to report that we are executing ahead of this timeline. Kiosk order values are higher than traditional cashier transactions. Kiosk is our highest margin channel and we are pleased with our return on investment here. We are also pleased with April same-Shack sales of about 4% versus last year; an average weekly sales of 77,000 up versus the 76,000 in March despite shifts in the spring break calendar. In April, we benefited from driving a strong mix of sales into our own channels and had a lesser benefit from menu price than we did in the first quarter. Our license Shacks also performed well this quarter as we grew sales 33.4% year-over-year to $150.5 million. We have had successful recent openings across the world and our partners have performed exceptionally well serving the strong guest demand in particular in the U.S. with airports and our new roadside Shacks as well as China and Mexico. First quarter Shack-level operating profit was $44.7 million or 18.3% of Shack sales, 310 basis points higher versus last year. Despite margin pressure from a large number of recent Shack openings and persistent inflation, our strong performance this quarter was a direct outcome of progress on our four key priorities to improve our restaurant profitability. First, driving sales and prioritizing our channels where we are most profitable, we are leveraging targeted marketing strategies to drive awareness and visits. In addition, we are directing more business into our own channels by offering the lowest menu price there, early access to exciting LTOs as well as value added day-part promotions. Second, targeting labor efficiencies and growing throughput. We're seeing great benefits here from recruiting and retention tactics and better staffing is helping us to extend our operating hours and be more efficient. Kiosks are another important tool to help drive efficiencies in our Shacks. Third, improving off-premise profitability and other strategies to lower our control -- to lower our controllable expenses from standards for condiments and lessing -- lessening packaging and to go orders to premium prices on third party delivery, we continue to push forward opportunities to be more profitable and off-premise. We also showed strong progress here in the quarter with controlling additional elements of other operating expenses. As just an example, we were able to lower our repair and maintenance expenses that have been a meaningful headwind in prior quarters as we were able to secure additional needed supply for critical restaurant equipment. And lastly, we will continue to take a strategic approach to menu pricing and supply chain opportunities. On this point, we are pleased with the guest reception to the price we've taken thus far and we'll take approximately 2% price towards the end of the second quarter. This level is more in-line with our historical annual price increases and is needed to help protect our profitability against persistent food and paper inflationary pressures. But bottom line, we are encouraged by the margin expansion we delivered in the first quarter and despite the pressures we face, we have line of sight into further improvements throughout the year. Now into the components of restaurant profitability. Food and paper costs were $71.8 million or 29.4% of Shack sales 100 basis points below last year. Our blended food and paper inflation increased by high single digits year-over-year, which was off-set by the benefit from a higher menu price. Additionally, with our focus on operations and investing in our people with training and retention programs, we were able to improve our waste impact versus last year. Our beef coast -- cost rose slightly versus last quarter levels and were down high single digits versus last year. Importantly, nearly every other item in our food basket showed accelerating cost pressures versus last year, including fry cost rising by more than 20% and dairy and other cost increasing by double digit percentages. Labor and related expenses were $74.3 million or 30.4 percentage Shack-sales down from 30.7% in the first quarter of 2022 and up 150 basis points quarter over quarter as we continue to make investments in our valued teams needed to staff and operate our Shack. As expected, we face profitability pressures from the 28 new Shack openings over the past six months, still working their way up to optimized staffing levels. However, in our more mature Shacks, our teams capitalized on strong sales and produced solid flow through as we execute in our plan to improve our restaurant profitability. Other operating expenses were $34.9 million or 14.3% of Shack-sales down a hundred basis points from the first quarter of 2022. With our improvement coming from our menu price, driving sales in our own channels, lower marketing expenses and better management of expenses like R&M. Occupancy and related expenses were $18.6 million or 7.6% of Shack-sales down 70 basis points from the first quarter of 2022, with the benefit really coming from higher sales performance. G&A was $31.3 million or 12.4% of total revenue, excluding $1.6 million in legal settlements and professional fees. Adjusted G&A was $29.7 million or 11.7% of total revenue showing 90 basis points of leverage versus last year, as we invest with discipline. Pre-Opening costs were $3.6 million in the quarter and depreciation was $21.3 million. We realized net loss attributable to Shake Shack Inc., of $1.5 million or $0.04 per share. We reported an adjusted pro-forma net loss of $290,000 or one cent per fully exchanged and diluted share. Our adjusted pro-forma tax rate, excluding the tax impact of equity based compensation was 17.2%. Finally, our balance sheet remains solid with $293.4 million in cash and cash equivalence at the end of the quarter. Now on guidance, which balances the strong underlying business factors we've seen so far in the first quarter with the degree of uncertainty around the consumer spending landscape and our current expectations for ongoing inflationary pressures, this range does not reflect any additional unknown delays to our development schedule. For the second quarter, we guide total revenue of $269.5 million to $274.8 million with $9.5 million to $9.8 million of licensed revenue. We guide for both our company operated and our licensed partners to each open approximately 10 new Shacks and for same-Shack-sales to grow by low to mid single digits year-over-year with high single digit price inclusive of the 2% price increase we plan to take at the end of the second quarter. Covid has had a larger impact on our business than many of our competitors, and its lingering impacts on consumer mobility patterns, including work from home trends, has been a challenge for us. However, even with the pressures we face and persistent inflation, we guide second quarter Shack-level operating profit margins to reach approximately 20%, marking the highest level of quarterly profitability that we have delivered since the onset of Covid. And with more consistent trends we're seeing in our business, we're able to finally re reintroduce full year guidance for many metrics. For the full year 2023, we guide total revenue of $1.06 billion to $1.11 billion, representing 18% to 23% year-over-year growth with licensing revenue of $39 million to $41 million. We expect to grow our system-wide Shack count by approximately 70 to 75 units this year, about 40 of which will be domestic comp company operated, and 30 to 35 operated by our licensed partners. Our guide is for same-Shack sales to grow by low to mid single digits with mid-to-high single digits price and consistent trends in our mix. Despite ongoing inflationary headwinds, we expect to deliver at least 150 to 250 basis points of restaurant margin expansion in 2023 and guide for a full year Shack-level operating profit margins to reach 19 to 20%. As we continue to execute on our strategic priorities, while we are focused on exceeding the spar, inflationary pressures are not debating in this guidance. We're reflecting a degree of impact from potential consumer softness as well as beef inflationary pressures above and beyond what we're experiencing today. But all else equal. If both of these risks did not materialize, we see a path for our restaurant margin to surpass 20% this year. We are planning for food and paper costs to rise by mid to high single digits year-over-year, led by beef costs rising by a similar degree. We do not hedge on many components of our basket, including beef, which is the largest single part of our basket, and an area where we see a significant degree of uncertainty around the cost this year. In the first quarter, our beef costs were up just modestly versus the fourth quarter, and we're down year-over-year. However, we have recently started to see our beef costs increase with broad-based challenges across the supply chain, and we anticipate this to be a material pressure throughout the year. We are also seeing signs of even further inflationary pressures from many other items in our basket, including fries that are likely to cost us approximately 20% more this year than last. But above all, we are also making continued investments in our people as we focus on building up and supporting our winning teams. This is resulting in mid single digit year-over-year wage pressures taken together. Our operating backdrop is not easy. Inflationary pressures still remain, and we believe we have the right plan in place to navigate and continue to show higher operating profitability despite these continued challenges. In fact, even with the inflationary and potential macroeconomic pressures, we are planning to grow fiscal 2023 adjusted EBITDA by at least 50 to 70% this year to $110 to $125 million as we target achieving record profits this year. We have line of sight to exceeding this range. However, this will be dependent on the degree of pressures we face throughout the year. We reiterate that our 2023 G&A guidance of $125 million to $130 million absent the $1.6 million in legal and professional fees that are excluded from adjusted EBITDA this quarter. At the midpoint G&A would be 11.8% of total revenue, more than 80 basis points of leverage versus 2022 levels. Other guidance points, equity based compensation expense of approximately $17 million, pre-opening of $17 million to $19 million, depreciation of $88 million to $93 million, an adjusted pro-forma tax rate, excluding the impact of stock-based compensation to be 16% to 18%. So thank you for your time and with that I can turn it back to Randy.
Randy Garutti: Thanks a lot, Katie. We're really proud of the team and the way they continue to execute our strategic plan, driving sales and better profitability across our restaurants. We're going to keep our focus on recruiting, rewarding and retaining this team relentless focus on the guest experience, opening great Shacks through a targeted development strategy, improving our margins and investing with discipline for strong returns. I spent a lot of my time recently in our Shacks with our teams and visiting our partners around the country and around the world. We've been listening, learning and working collaboratively across our teams to run better Shacks that are great investments and stand the test of time. I can tell you confidently that our brand carries a weight well beyond our scale today and we continue to execute a plan to scale our business for tomorrow. Hope we see you all soon for a Shack burger. And with that operator, go ahead and open up the call for questions.
Operator: [Operator instructions] our first question comes from Jeffrey Bernstein with Barclays. Please proceed with your question.
Jeffrey Bernstein: Great, thank you very much. One question, one follow-up the question just on the, the near term concerns. And Katie, you mentioned, the uncertain macro and the short term. I think investors are concerned of slow and comps of late, in first quarter results beat expectations. I'm wondering if you can maybe share your thoughts on the trend through the quarter X[ph], the noise, there's obviously been a lot of noise, but how do you read those first quarter results and more importantly, in April with a 4% cop? Looks like it would be a deceleration from the first quarter, but hard to tell when pricing's being lapped and different shifts and whatnot. So I'm just trying to get your sense for how you think the consumer's behaving through the first quarter and through April as that impacts your second quarter outlook? And then I had one follow-up.
Katie Fogertey: Great. thank you. So, overall I would describe the cadence of, of the first quarter. As we started strong. We had a lot of ver good new Shack openings as well, kind of helping as the tailwind at our back. But then really kind of in, in February and with the, the launch of white truffle, kind of coincided about the same time we did see, above average sales performance in our more mature Shacks. We saw, pretty healthy behavior from high income consumers where, we over-index too. But kind of throughout income cohorts, we were pretty pleased with what we saw. We are taking a mindful approach though as we're going throughout the year for all of the reasons that you just discussed and see, are baking in, some, some views about how the, the back half of this year could play out. But from what we're seeing right here we are pleased with our performance. I will say, as it pertains to April, you're right, we rolled off about, three and a half percent menu price and an additional 5% increase on DSP that we took to March and so that, is part of what you're seeing right there. There were also some spring break shifts as well.
Jeffrey Bernstein: Understood. So it doesn't seem like you're seeing a material change in consumer behavior of late when you back out those unusuals, or is April would you say? Somewhat of a deceleration?
Katie Fogertey: We're very pleased with the trends that we have seen in April consistent with what we saw exiting the first quarter. But that, that that's just one month. So we'll have to see how the rest of the quarter plays out.
Jeffrey Bernstein: Understood. And then my follow-up was just the restaurant margin outlook. I mean, very impressed with the 19% to 20% guidance. I think you even mentioned this potential upside to that 20%. I'm just wondering if you can maybe prioritize what you think are the greatest drivers there, or maybe more importantly, what's the greatest risk to that? Because obviously that's, that's above expectations and it just seems like the environment inflation's getting worse, pricing's easing, and the consumer is just so uncertain, it would seem like that's aggressive. So wondering where you think there's upside versus where there's the greatest risk to that margin outlook? Thank you.
Katie Fogertey: Yep, thank you. So, as we're thinking about the margin progression throughout this year and what really helped us in the first quarter achieve that 310, which actually is, closer to 360 basis points of improvement versus last year when you adjust for the gift card benefit we had in the first quarter of 2022. Let's talk about what we did. we drove sales and we drove sales into our own channels. And we expect for that to continue to be a tailwind for us this year. We have key strategies in place to reward our guests to come into our restaurants to come in and use our app and to do delivery through us as well. So we want to see more of that throughout this year and we think that's going to be a benefit. And we're also really encouraged by the work that we've done around staffing and improving, retention around our team members. And I think we're just really kind of early days in seeing that benefit. Randy talked about the, the big, increases that we saw in retention in the first quarter. We're seeing some lower waste here on the back of it. And we were able to be open longer hours. These are all things that you want to see to help us be more profitable. But conversely, and we, we have some of this in our guidance, I would say, one of the, the biggest risks to achieving that range is, if we had macroeconomic uncertainty outside of what we're expecting today, we had a more significant fall off in the consumer. And then beef, beef, we've continue to say beef is the largest part of uncertainty in our basket this year. We're starting to see it pick up here. We've baked in our views right now as to what that is, but if you're asking me, where the biggest part of uncertainty is on the cost side, to me it's beef.
Operator: Our next question comes from Michael Tamas with Oppenheimer and Company. Please proceed with your question.
Michael Tamas: Hi. Thank you. Good morning. I wanted to follow-up on the consumer softness comment within your guidance. can you talk about where you're assuming on the sales side of things? You mentioned margins could exceed 20% if there was no softness, but how much of a headwind to sales are you sort of thinking about right now? Thank you.
Katie Fogertey: We have reflected a modest degree of slowing into our guidance at the midpoint. If the consumer remains healthy, there's a path to exceed that. However, if there is more material macro, economic contraction than what we're, we're pricing in our guidance, we may miss that. So that's kind of how I would think about the guide on that side. We over-indexed to higher income consumers, we were really encouraged by that 4.8% traffic we generated in the first quarter. And we have to just really kind of talk about white truffle was the most expensive LTO that we've ever launched and we've had very strong success with that. So, what we're seeing today is that, we're kind of that attainable luxury. We're, we're, we're definitely gaining share at the high end. And we hope that that continues, but for planning the business, we think it's prudent to take a balanced approach through the rest of the year.
Michael Tamas: Gotcha. Thank you. And then can you talk about what you're seeing from, consumer habits and your drive-throughs and or maybe Kiosks versus sort of like your traditional stores, do consumers use your drive-throughs differently, maybe less beverage attach or, less shake attach or something like that. And more importantly, how does it sort of shape the way you're thinking about that drive-through business as you're building new units and going forward? Thanks.
Katie Fogertey: So on drive-through, we're still very early here to really report on key trends, but I will talk about Kiosk because we've had those in our system for longer. And, we feel better about talking about those, those trends. So what we see in Kiosk and what we continue to see, even with doubling the sales year-over-year and having a substantial more number, higher number of restaurants in our system with them, is that when a guest goes to our Kiosk and they see the visual merchandising of our menu, we see that they have higher Shacks than a traditional cashier order. We see that they add on more premium and higher margin items. And so that together really makes that our highest margin channel. We're ahead of plan here with rolling out Kiosk to nearly every Shack by the end of this year. And we're very pleased with the returns on that investment.
Operator: Our next question comes from Jake Bartlett with Truist Securities. Please proceed with your question.
Jake Bartlett: Thank you. And it's Jake but thanks for taking the question. So the first is on sales drivers and, my sense is that, is that improved staffing and, and turnovers, is and maybe hours is one of the biggest drivers of that. Can you give us any metrics around that? Maybe, how turnover might be improving maybe average hours now versus last year. Anything to kind of just kind of demonstrate the improvement that you're seeing on the on the staffing and the, and the productivity levels?
Randy Garutti: Thanks, Jake. And this is why it's the number one part of our strategic plan because, when we see what we reported here, which is a lower turnover, higher retention, and a lot more people applying for jobs at Shake Shack in the first kind of year to date here, that's just a huge win in every way. Turnover is expensive. It is hard to train people and mostly because you're just not up to the reps. You're just not up to the speed throughput. That's where the most gains are going to come from. And I think that's was a part of the strength of q1. It's also a part of our confidence in the -- our profit guide for this year. It's a huge part of how we think we can get there now. We need to see that trend continue. Obviously this last few years has been incredibly challenging on that front. We'll see with a consumer softening, who knows where that will go, but we expect those trends to continue. It's also the work that our team has done to make that better. So I think you see it on the kind of hidden costs of all throughout the P&L especially just on the opportunity to optimize throughput on ours. we, we've been able to, it's not like we all of a sudden magically just increased hours across all the Shacks. This is really just recapturing some of the hours that we had had given up when staffing challenges were more challenging over this last couple years. So we're starting to be able to get some of those back in the first quarter. There's a little bit more probably to go on that depending on the Shacks and generally seasonally our stronger quarters are the second and third quarter. We generally, we can look at some of that expansion of ours. But, taking care of our team, having them stay is a huge win in every part of the business.
Jake Bartlett: Great. I appreciate that. And, as a follow-up or actually a question I, I saw in, in the release and you mentioned your target of ROI, new store ROI of, of over of 30% or over 30%. I was a little surprised to see that, that that's what the recent store class has achieved, given the margin pressure that we've seen over the last couple of years elevated costs. So maybe if you could kind of break that down, how the, the store, the, the recent store glasses classes have performed was achieving that 30% or over 30% ROI really purely strip by from new store openings or, any other metrics to, to kind of help us understand where that 30% is, is driven by?
Katie Fogertey: Yeah, so our -- the return metric that we use here, cash on cash return we measure in the third year of operation. So, really when we we're talking about the Shack that were impacted by Covid pressures where our returns were impacted, we're talking about, our 2017 class came into its third year of measurement in 2020. That was a year of deep impacts here at Shake Shack and for the restaurant industry. No surprise there that, sales have improved a lot for the 2020, 2017 class as they have for the rest of our company. And our profitability trends have, have, have done better too. So, same story can be said with the class of 2018 that comes into its third year in 2021. And to, a little bit more, lesser of extent that the class of 2019, so, with our expectations here to generate, about 19% to 20% Shack-level operating profit for the overall company and the recovery that we have seen in, the class of 2020 Shacks and the rest of our overall base, kind of with the targets to hit, $110 million to $125 million in adjusted EBIDA this year on the bill cost for the class of 2020, we expect that to exceed our long-term guidance range of at least 30%.
Operator: Our next question comes from Drew North with Baird. Please proceed with your question.
Drew North: Great. Thanks for taking the question. I just had a quick follow-up on labor. Randy, you mentioned the lower, lower turnover is providing confidence in the op profit guide for the year, but maybe this is for Katie. I guess, how are you thinking about the magnitude of leverage on the labor line in the context of your guidance for the year?
Katie Fogertey: Yeah. So, we're expecting, we're kind of in our guidance range for 19% to 20%. We're kind of expecting everything to kind of hold here from what we're seeing. It's possible that, we do better than that. It's possible that we have more pressures on that side. But we think that right now, kind of assuming that we hold the current level is appropriate for guidance. There's also some, some things that are helping us at on the labor side, probably with retention end up actually costing us a little bit more as well. So let's talk about tips. We offer tips to our team members and in basically every channel right now. And our, our guests have been, stepping up and rewarding our team members for such excellent service. There's a cost to that that we also face in, in our restaurant P&L on the labor side as well. So that's just, something to think of as you're thinking about this year versus last year and prior years.
Drew North: Okay. Thank you. And one other, it looked like the shareholder letter mentioned lower marketing expense, benefiting the other OpEx line sounds as though you're being more targeted there. I guess perhaps you could just expand on your plan from marketing this year relative to prior years? Thanks.
Randy Garutti: Well, what, what you're seeing there is a change of classification for marketing programs that used to hit the Shack-level that are more national in, in nature. So that's what you're talking about when it comes to marketing. We're only committing more this year. You'll see that in G&A, you will see some of that in-Shack's when it's direct marketing to that specific restaurant. So that's not a, that's not a call out on any kind of less marketing that is, we're going to do more nationally and we're going to do more regionally as well.
Katie Fogertey: And then in the first quarter, we did have a little bit of shift in some of our Shack-level marketing projects, which we expect to kind of realize later this year.
Operator: Our next question comes from Jim Sanderson with North Coast Research. Please proceed with your question.
Jim Sanderson: Okay. Thanks for the question and congratulations on a great first quarter. Wondering if you can walk through how pricing will impact same store sales on a quarterly basis. I think you've got three and a half percent that's rolling off in March, and then you're going to take an additional two. So just kind of level set that for us so we can understand how that's going to flow through for the next three quarters?
Katie Fogertey: Great. thanks Jim. So, starting off the year we had, very high single digit pricing, that's what I would kind of describe that as. And then you're right, we rolled off in March, we rolled off three and a half percent menu pricing and 5% additional DSP pricing. We're kind of now trending at the lower end of that high single digit range. And, depending on menu mix and, and other, channel mix, kind of expect to have that be the case for most of the quarter. Then we're going to be taking, the 2% late in the second quarter, we're going to be holding that. And then in October we're going to be rolling off that, we, we, we said we, we took between two to 10% across channels, or sorry, across a variety of different price tiers. So that will come off. So we'll end the year at, basically 2% price. We haven't made any announcements on, on any additional price increases.
Jim Sanderson: All right. No, understood. Thank you very much. Just wanted to follow-up too a little bit on the discussion on Kiosks. You talked a lot about what you've observed as far as higher average Shack, but I'm wondering if those Kiosks, once you have those in all of your stores in the United States, if that's going to unlock some lower labor costs in the form of fewer budgeted hours or anything you can tell us about how that could enhance store labor productivity once it's rolled out?
Katie Fogertey: No, it's a, it's a great point, and we're really excited about Kiosk and I think we're just really early days here on both that point. We're certainly seeing some signs of labor efficiencies in, in-Shacks with Kiosk, but then also just on unlocking, additional capabilities with the Kiosk. So, I'm really excited by what this, enables our team members to accomplish in-Shacks, how it enables us to, better target the, the labor in the Shacks and provide, hopefully a better guest experience. And, the natural Shack list that you see from Kiosk orders re relative to cashier Shacks have helping people to understand our menu and our offerings better. And, we're, I think we're just really scratching the service as to what we can do here.
Operator: Our next question comes from Maggie O'Hearn with Raymond James. Please proceed with your question.
Maggie O'Hearn: Hi, and thank you for taking the question. I'm, this is Maggie O'Hearn for Brian Vaccaro. We just had a question on the other Outback line. Could you quantify the benefit you saw in R&M in 1Q '23? Do you expect a similar year-on-year tailwind through the year? I know there could be a difference in comparisons there, so any perspective there would be helpful. Thank you.
Katie Fogertey: Yeah, so what happened in other OpEx this quarter, if you look at kind of where we've been focused on our strategic priorities, it's really on addressing, what the controllable expenses that we have and the supply chain challenges that we've faced in general, which have been a pressure to our ability to open restaurants. We've also talked about that being a pressure for our ability to replace equipment, and it was resulting in higher service costs for that equipment. Our team did a really good job identifying a lot of opportunities to upgrade and replace much needed equipment in, in our restaurants. And, we'll, we're expecting them to continue to, to act on that plan throughout the rest of this year. So, that's kind of the benefit we're seeing there. I would say the other, pretty, pretty important benefit though that you're seeing on other operating expenses is really just, pushing more and more sales into our own channels. That's helping us leverage a lot of expenses on that line.
Maggie O'Hearn: Thank you. And then could you also go over what digital mix was in the quarter and maybe provide some color what kind of trends you're seeing in those off-premise channels?
Katie Fogertey: Sure. We add a 36% digital mix in the quarter. Now that includes app, web and delivery. That does not include Kiosk. And really the story there is that we're seeing our gains come back from in-Shack. We doubled our Kiosk sales year-over-year, which that's a, in, that's not part of the digital mix. That's part of our in-Shack transaction. And our same-Shack sales for in-Shack grew over 20% year-over-year. So we're seeing more and more guests come back to the kind of normal pre pandemic purchasing habits. But at the same time, we're also driving more adoption and usage of our app.
Operator: Our next question comes from John Ivankoe with JPMorgan. Please proceed with your question.
John Ivankoe: Hi. Thank you. I know that the industry actually did show net unit growth. I mean, at least according to some industry numbers '22 over '21. And I was curious, and I, think this could go both ways, both, closures and openings, of how maybe you see your trade area competitive dynamics change. I mean, I think we all know there's not exactly another Shake Shack, but there certainly are many competitors that are going after at least, your type of customer and probably the day parts of which they use it, maybe even the channels in which they use it. So can you talk about, how the competitive environment might be evolving? Even if it isn't, specific markets or when we really take, take a step back and look everything or we pretty status quo, '23 over ‘19 and your success is really going to be dependent on what happens within your four walls? Thanks so much,
Randy Garutti: John. That's a great question. I, I, I'll start with how you ended. Like there's no question our success is going to be how we run our restaurants. That said, you're absolutely right in hitting on the changes of dynamic of how real estate and sites are working so broadly, I would say that the, the toughest competition out there is for great drive-through pad sites right now, right? And you're seeing that with everybody. Everybody's looking for that. We are fortunate, we have such a good brand. There's a lot of landlords who really want us to take that space, but that's probably the, the hottest, I think you, you're seeing some easing in kind of the regional mall type and some of the urban, but again, urban's a big, is a big word. And there's lots of places in urban centers that we're going to continue to go that we think are great. So our strategy within all that is balance. We've made a big commitment to drive through, as we think it's a huge potential part of our business and we have a lot to learn on the kind of sites we need. We're going to learn a lot more this year as we add another 15 and more than double the size of our drive through template. We're also going to learn a lot more even next year in drive through as we do more of our Shacks kind of on the coast in some of the, some of the markets where we've traditionally had some of our higher AUVs. So I think there's going to be a lot of learning there. But we're also going to be cautious. I want balance, I want balance of core Shacks, some drive-through some smaller format. And within all of that, that's where you heard some of my notes earlier talking about making sure that we can better templatize prototype design, save money over the long-term. It's not going to happen tomorrow. You're not going to see it this year, but you will see it over the long-term and our ability to just do a better job as we've now gotten to a scale where we can grow upon to take those learnings and, and bring down costs over time for drive-through for core and for all those. So there's a lot happening out there. We think 40 is a great number for this year and we'll keep, we'll keep growing in the years to come.
John Ivankoe: I like how you described urban as a big word. I mean, can you, maybe like, talk about that cohort specifically. I mean, is it, is it a more open, competitive app opportunity? I mean certainly, a lot of people are kind of being scared off, from, near offices and maybe even in certain cities themselves, but there's still a lot of people that need to eat lunch and dinner that, that have money. And it's like, listen, I mean some of the, the actual, migration trends out of the cities at least permanently, might be overstated at, at least in some of the press. So h how, how would you just see your competitive positioning just within urban itself? I mean have, have more customers left in restaurants? I mean, is it, have more restaurants left than customers? Just talk about where you think, that, excuse me, that balance is and how you're positioned within cities themselves?
Randy Garutti: Yeah, I don't think it's landed yet, is, this is the answer. I think there's a lot of great headlines you read and for the most part, urban centers are really doing great. But as we've shared, even some of our highest volume Shacks in some of our deepest urban communities, New York, Downtown, San Francisco, some others are still impacted, still impacted. And when you lose some portion of workers, whether it's some Monday or all a Friday or some shifting that's going to have impact. We still have that impact as a lag on our business. It's part of this drag that we've seen. But again, we continue to see those trends improving, which is all part of our guide for this year. But that's why I said urban's a big word because, and part of why we're, not going to continue to show the urban suburban breakdown is because these things are stabilizing and all suburban is not equal and all urban is not equal. There's lots of different types within there. When we think about our strategy, we will go continue to go to urban environments where we think there's great opportunity. Let's just take a second on. Cause I know sometimes we overdo New York and its impact on this company, but when we think about what we just opened in New York, in the last year we've opened a great site in the meat packing district. We've opened one in Brooklyn in King's Plaza. We've opened one in Jamaica, Queens. And you'll see us open on the lower east side. These are neighbors hoods we haven't gotten to yet. These are neighborhoods much less impacted by any kind of urban shift. So that's the way we're thinking about urban is making sure we're going to the best type of sites when we go to cities. And we think there's a big opportunity there. We're going to, we're going to bet we're going to continue to bet that there's some great long-term returns in, in urban markets and, and probably more of our Shacks in this next couple classes will be kind of more suburban type.
Operator: [Operator instructions]. Our next question comes from Brian Harper with Morgan Stanley. Please proceed with your question.
Brian Harper: Yeah, thank you. Good morning. I had another question about the Kiosks too be besides kind of the, the Shack benefits that you mentioned, are there other things that you see in terms of, I don't know if there are any labor hours savings or maybe you can just redeploy some of those labor hours. Do you see better throughput in the units that really have higher Kiosk order volume or what, what, how else could you quantify that?
Katie Fogertey: Hi, Brian. Yeah, so with our Kiosk orders, our Kiosk Shacks, what we tend to see is, we're able to run them a little bit more efficiently than Shacks without Kiosk. And, while we made significant improvements in the first quarter in our staffing and retention, if I just look back to, the third and fourth quarter where the industry was deeply impacted we were able to leverage Kiosks. Our, our operators were able to leverage Kiosks as a key tool to let them operate when they were a little bit thin on staffing, so that we continue to be really pleased with having that tool at their fingertips. But really, when you think about the guest experience and what our guests like to see, we still have a portion of guests that come in and they want to have that face-to-face human transaction communication connection with the cashier. But we have a ton of guests who come in and they want to just go right to the Kiosk. They want to sit there and learn about the menu and see, build up their tray, kind of go from protein to fries to shake cold beverage and so forth. And so it's a, it's a really amazing experience. If you haven't used one, I highly encourage you to go. And what we see is we have higher Shacks. We have people adding both more premium LTOs, more add-ons on their existing burger, so maybe the Shack burger more likely to have some more premium add-ons on it. We have a higher attach rate for cold beverage. Those are great margin additions to our Shack as well. And a number of our guests eat and our restaurants stay in our restaurants. And so we get a little bit of a save on packaging as well. So, overall very pleased with what we're seeing in Kiosk. And I think we're, I said it earlier, but I think we're early days here in learning what the true potential for, visual merchandising and, and other ways to connect with our guests.
Brian Harper: Okay, thanks. And then could you just talk to us about your food supply chain a bit? Because as I recall you have a, you have a different spec of some products, maybe more like specialty distribution, for those of us that can more just see kind of spot commodity prices, do you typically or, or versus some of your large peers, do you typically see less volatility in some of those key items like beef or fries do or how does it move differently than what we might see for some of your peers?
Randy Garutti: Well, I think it, I think it really depends on the item in the year. It's not an easy question to answer. So yeah, generally commodity prices are going to be the directionally where we head, but again, we're not just buying commodity beef, we're buying especially all muscle blend. this is, this is really good. All, all premium, no hormone, no antibiotic beef for instance, same with our, our bacon. So we generally ride the market and when the market's up, it's generally up for us as well. So that's part of what Katie's talking about. Beef probably being the, the thing we're looking at most for this year. But when it comes to other things, I mean, yes, we've got some pretty premium ingredients, but I don't think there's anything necessarily more specialized about what we do. Generally I think if you're going to continue to see inflation up, which we do, it's going to continue to back shake Shack and, and that's, and then when you see one thing that might be down, those things lag as well. And just because, for instance, the cost of chicken might be down, that doesn't mean the cost of processing chicken is down. And there's a lot of other things that are going into supply chain expensive inflation right now. I think the market's not talking about enough. And most of that is labor costs. A lot of it continues to be shipping and logistics costs that are expensive and more expensive. Those things are not going to ever go down, even if the cost of the commodity might temporarily be down. So look, long-term we think we've got some opportunity, hopefully if inflation cools, but this year we're still expecting moderate inflation on most of the things that we will serve.
Operator: Our next question comes from Jake Bartlett with Truist Securities. Please proceed with your question.
Jake Bartlett: Great. Thanks for taking the quick follow-up here. my question was on, on cogs and, and your expectations. It sounds like food cost inflation and menu price are going to be pretty similar. So the question is, do you expect COGS to be lower as a percentage of sales in '23, may be driven by some of the packaging changes, maybe some supply chains initiatives that you have trying to understand, just you better understand what we should think about for cogs in 23?
Katie Fogertey: Yep. Yeah, so we've guided for cog inflation to be mid to high single digits. we're seeing inflationary pressures, pretty much across the board. And beef is kind of the biggest unknown at this point where we're guiding for a mid to high single digit outlook on that side. Now, what are the other things that are going to impact what the COGS level is? Well, part of it is waste and certainly we're encouraged by the trends that we saw year-over-year in the first quarter. Staffing and training, our team members and that retention, that's helpful. And it also has to do with menu mix. The more cold beverage we, we sell, the, the greater the attach rate on that side, that tends to be a benefit for us. So, we'll kind of have to see how the rest of the year unfolds, but with that kind of mid to high single digit cogs inflation you're looking at, probably, kind of a high single digit price for the year that should kind of help triangulate, where that might land.
Operator: We have reached the end of our question and answer session. I would now like to turn the floor back over to Mr. Garutti for closing comments.
Randy Garutti: Just want to thank you everybody for taking time with us this morning and we look forward to seeing you soon at the Shack. Thanks, take care.